Operator: Greetings, and welcome to Sunworks, Inc. Fourth Quarter and Full Year 2022 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now pleasure to introduce your host, Jason Bonfigt, Chief Financial Officer. Thank you. You may begin.
Jason Bonfigt: Thank you, operator. I'm Jason Bonfigt, Chief Financial Officer of Sunworks. On behalf of our entire team, I'd like to welcome you to our fourth quarter and full year 2022 results conference call. Leading the call with me today is our President and CEO, Gaylon Morris. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to update our forward-looking statements. Following the prepared remarks, we will open the line for questions. With that, I'd like to turn the call over to Gaylon.
Gaylon Morris: Thank you, Jason, and welcome to those joining us today. During 2022, we continued to build a leading integrated solar solutions platform across our core regional markets, while continuing to advance our business transformation strategy. Last year, we continued to drive an improved velocity of installation, ensuring improved customer retention between project originations and installations. We continued to reweight origination toward our direct sales channel, thereby reducing customer acquisition expense. We expanded our procurement relationships with an emphasis on increased access to domestically sourced materials. And we moved further towards a centralized operating model, one that further positions us to move quickly in support of individual customer requirements. In summary, it was a year of significant organizational change and transformation, one that culminated in strong fourth quarter revenue growth of more than 70% versus the prior year period, given sustained market share gains across both our residential and commercial segments. Our Residential Solar segment, which represented 83% of total fourth quarter revenue, delivered strong year-over-year growth in revenue, new installations, originations and backlog as recent investments in our direct sales force have contributed significant ongoing market share gains. Within Residential, our direct sales channel represented a record 27% of fourth quarter revenue, up from 5% in the prior year period. Since the Solcius acquisition in 2021, we've increased our direct sales force to more than 600 representatives, positioning us to drive above market originations growth. By the end of 2023, we expect our direct sales channel will represent approximately half of our annual sales. While the pace of revenue growth evidenced in the fourth quarter reflects robust demand for our solar solutions, a combination of rising interest rates and general economic uncertainty muted new originations in the period. While origination growth remained challenged into the first quarter of 2023, we have begun to see rebound recently with improving weather in our key markets. In response, we have taken targeted action to curb the impact of higher financing costs on the pace of solar adoption across our customer base. These actions include the addition of new loan providers, together with solar power purchase agreement options, which will materially lower the total cost of ownership for consumers. While many Americans continue to face a rising cost of living, including rising monthly utility bills, we expect homeowners will continue to pursue solar power to reduce or eliminate their utility bills while becoming energy independent. Rising electricity prices continue to drive increased solar adoption, particularly in California, which represented more than 40% of total sales in 2022. Before I turn the call over to Jason for his remarks, allow me to provide a general outlook for our business entering 2023. We believe the recent passage of the Inflation Reduction Act will provide an important secular tailwind for the domestic solar industry beginning this year. As detailed in the legislation, the solar industry will have unprecedented access to both production and investment tax credits for domestic manufacturing across the solar supply chain over the next decade, providing significant incentives and visibility for consumers. We believe solar adoption rates will accelerate as the market is fully educated on the significant financial incentives afforded by the IRA. At the same time, we anticipate a higher interest rate environment could severely impact smaller competitors, positioning larger platforms such as Solcius to take market share during a period of competitive churn. As higher rates become the new normal, we think consumers will recalibrate to a slightly higher total cost of ownership, as is currently happening in the residential housing market. Over time, we see the potential for Sunworks to expand its project financing capabilities, providing customers with a more robust solution offering that makes solar adoption that much more accessible. This year, we have begun to aggressively pursue strategies to further enhance our value proposition with customers and sales channel partners. For example, we believe battery and electric vehicle charging adoption rates will grow rapidly over the next few years. With this in mind, we are actively pursuing these and related product adjacencies given both their appeal to our customers as well as their attractive margin profile. On balance, I'm positive on the outlook for our businesses entering 2023. A combination of sustained market share gains, recent price actions and favorable long-term demand fundamentals, particularly with the added benefit of the IRA, position us to move closer towards EBITDA breakeven. With that, I will hand the call over to Jason for a review of our fourth quarter results.
Jason Bonfigt: Thank you, Gaylon. Beginning with a summary of our full year financial performance, Sunworks generated total revenue of $161.9 million in the full year 2022, an increase of 60% versus the prior year period, driven by increased contributions from a Residential Solar segment and a full year of benefit of the Solcius acquisition, which closed in April of 2021. Commercial Solar Energy revenue decreased $6.9 million compared to the prior year period, primarily driven by the timing of project start dates associated with the orders received in the current year. Total gross profit increased 75% versus the prior year to $71.3 million. Supported by revenue growth and partially offset by labor and materials inflation. For the full year 2022, we reported a net loss of $28.2 million, or $0.86 per basic share, versus a net loss of $26.6 million in the prior year period or $0.99 per basic share. Adjusted EBITDA was a loss of $20.7 million in 2022, compared to a loss of $13.3 million in the prior year. In the fourth quarter 2022, we generated total revenue of $53.6 million, an increase of 69% versus the prior year period, due mainly to higher installation volumes within our Residential segment together with higher order intake from prior periods and elevated backlog within our Commercial segment. During the fourth quarter, residential and commercial revenues represented approximately 83% and 17% of total revenue, respectively. Total gross profit increased to $22 million in the fourth quarter versus $13.7 million in the prior year period. The year-over-year variance was primarily attributable to increase in revenue in both segments, partially offset by margin degradation resulting from increased labor costs together with jurisdictional permitting and weather delays. We reported a net loss of $7 million in the fourth quarter 2022 or $0.20 per basic share, versus a net loss of $13.5 million in the prior year period, or $0.47 per basic share. The year-over-year variance was primarily attributable to a $5.5 million goodwill impairment in the prior year quarter and due to the increases in revenue and gross profit in the current quarter. Adjusted EBITDA was a loss of $5.6 million in the fourth quarter, compared to a loss of $4.4 million in the fourth quarter of 2021. Turning to a review of our Residential Solar segment, which is our Solcius business, fourth quarter segment revenue increased 70% year-over-year to $44.4 million, driven by growth across all sales channels. Total residential loss and installed increased 57% year-over-year in the fourth quarter. Direct sales represented approximately 28% of total revenue installed in the fourth quarter, versus approximately 5% in the prior year period. Total residential backlog increased 38% on a year-over-year basis to $54.6 million as of December 31, 2022, driven by growth in direct originations. Within our Commercial segment, revenue increased 65% year-over-year to $9.2 million, and the commercial backlog increased by 50% on a year-over-year basis. Turning to our balance sheet; at the end of the fourth quarter, we had no debt and $7.8 million in cash to support the ongoing growth of the business. Earlier in the year, we wrestled with supply chain issues particularly related to sourcing and availability of solar modules. These conditions improved materially as the year progressed, leading to increased availability of modules into 2023. Increased module availability coupled with moderating labor inflation are both positive margin tailwinds for Sunworks. Given the supply chain challenges specifically with modules, we invested heavily into building inventory to support our growth. Exiting the year, we had several quarters of commercial modules and three to four months of residential modules on hand. As a result of this, our inventory increased by $16 million during the year. However, operating working capital growth was approximately $5.5 million as we realized in improvements in DPO as well as deposits received from customers and/or lenders. As module conditions improve, we will continue to scale back our inventory levels to more normalized levels which should result in operating working capital tailwind throughout 2023. Operator, that concludes our prepared remarks. Please open the lines for questions as we begin our question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Donovan Schafer with Northland Capital Markets.
Donovan Schafer: Hey, guys, thanks for taking the questions, and congratulations on the revenue numbers. Those are really fantastic. I think everyone kind of wants to see gross margin improvement. So my first question is actually when I look, gross margins were down quarter-over-quarter and also year-over-year, and you kind of gave some reasons for that. But I know the way you do gross margins, you don't include the sales and marketing expense, which can be a pretty variable cost on customer originations. And so when I take gross profit and subtract sales and marketing, I'm doing this on a consolidated basis. It's kind of a crude approach. But when I do that to get a sort of, call it, like an adjusted gross margin or an after sales cost gross margin, it actually looks like there was a year-over-year improvement. When I do that, I get like a 14% adjusted gross margin in the fourth quarter of this year versus 12% a year ago. Of course, there was cost inflation and other things, so I'm just curious if you could talk to that at all like what you're seeing that corresponds to what you're seeing. If once you talk about the shift, you include the shift to more direct sales that's actually improving you, improving margins. If you're thinking about customer acquisition costs and that you have seen even this quarter an improvement there or are there actually some more kinks to work out where just increasing percent of direct sales is actually misleading on that front? Or maybe my math is wrong or something. Can you just talk through that?
Jason Bonfigt: Good morning, Donovan. It's Jason. I think you're thinking about that right. It's important to look at it on a segment basis rather than consolidate it, because the different segments have varying margin profiles. I think you're trying to get at residential and dig into that a little bit more. On the first point, on a sequential basis, we did have a onetime accounting adjustment in the prior quarter. That was 300 or 400 basis points of a difference. So I think when you look at it sequentially without that onetime benefit, there wasn't a significant change. We do look at gross margin less our sales and marketing costs as a reflection of the margin profile of the business and then are we bringing on accretive solutions? So I think you're thinking about that right. We did have a lot of challenges in Q4 with weather, specifically in residential in California and a couple of other markets that just led to just delays and inefficiencies. So we'd like to see over the course of Q1 is certainly going to continue to be a little challenge given the weather events across the country. But we'd expect that to increase throughout the year. And then as we think about our direct sales platform, we've been making quite a few investments in that sales force to onboard that. And as we leverage, we are expecting the percent after you take gross margin minus your sales and marketing expense to gradually improve as well. Because we're onboarding more direct and it's a higher percentage of our overall population.
Donovan Schafer: Okay, that's helpful. And kind of on the same theme, I think, as in the deck or the release, you said, you have a target of getting to 50% of sales coming from your direct channel. I believe it's by year-end ’23 maybe it was year-end ’24, you can correct me on that. But the question is, have you done anything in terms of kind of like modeling or translating that into a financial metric or something we'd see in the statements in terms of like what that would mean. I mean I could kind of figure it out where at least in the past, you said and this is another area where you can correct me if I'm wrong, but I believe in the past you said customer acquisition costs for the direct channel are about two-thirds of what they are for third-party channels. So, with that, I could kind of model out what's the implication of if you get to 50% sales from direct channel? So either if you've already worked out some numbers or if you can kind of steer me one direction or another based on that kind of two-thirds, if I'm right or wrong on that, just trying to get it, what would the implication be of 50% from direct sales channel?
Jason Bonfigt: So if you look at, let's just call the gross margin minus our sales and marketing expenses of company. Let's just call that net margin for example, in Q4, we were right around 9 percentage points. And so that's the blend of the dealer channel, tele sales and direct sales. As you can see, if you look back at the historical financials of Solcius prior to the acquisition, that number was in the upper to mid-teens. That is where we're targeting this business to get to, especially as we grow our direct sales channel. I think the two-thirds number, I would challenge that the cost of that organization is - of the direct organization is not that much less than other dealer channels. Ultimately, we have to be competitive to bring on these other even third parties that come into our direct sales organization. And we need to be competitive from a cost standpoint, so that we can generate sales and we're still cost competitive to the homeowners. So I think you might be - I think as you're modeling it, I wouldn't be modeling it as aggressive as that.
Donovan Schafer: Okay. And then if I could get another one in, I'm just curious in terms of, you mentioned fourth quarter originations being down. The fourth quarter installations are great, sales are fantastic, originations are down a bit, and that interest rates and seasonality are big drivers of that. But I'm curious I guess the first part of the question would be, was there any kind of potential like a pull forward from Q1 ‘23, given the lower originations? I mean, were you doing, for instance, perhaps were you doing like, promotions in the third quarter? And so that drives higher third quarter originations and then higher fourth quarter installations, but then if the promotion goes away, you get lower fourth quarter originations. Were there any other dynamics like that beyond just seasonality and originations? That's like the first part. And then the other one would just be the interest rate part certainly makes sense for weather or seasonality. You have always known seasonality can have a big impact on installations, but I guess it wouldn't have really occurred to me for originations and in the past, I think you could actually do really well with originations in the fourth quarter. But a lot of times that was maybe also because of an ITC exploration or an ITC step down. And so there was this sense of urgency where you could convince customers, do it now or the credits are going away. So can you just kind of course correct me on that in terms of what the seasonality would be on a normalized basis for originations and how weather impacts an origination? It's just raining so people, if it's raining, you don't want to be door knocking. I mean, does that make sense?
Jason Bonfigt: I can start and then I'll hand it off to Gaylon for the second part of the question. So seasonality certainly was at play. We weren't marketing to consumer, homeowners any different way in Q4. And typically there is a seasonality impact, I think, as we look at benchmark and other third party providers of data that showed what's happening with permits. In Q4, you really saw a drop in the growth rate and a reduction in Q4. And we think a lot of that is driven by sort of all the effects throughout the year with interest rate increases, dealer fees, changing on loan products, and then all the inflationary pressures that came in. So certainly we felt some pressure in Q4 and into early Q1. So what are we doing about that? We have onboarded one new loan provider that has materially lower rates than our existing base, and then we are also at the same time looking at and we'll be onboarding several new PPA options as well. We're seeing that growth. And I think those changes and those tweaks that we're making in the business are starting to help originations in late February and March, and we're seeing a recovery there.
Donovan Schafer: Okay, that's helpful. And then yes. Gaylon or you can talk about the way that seasonality and weather impacts originations. Because, again, it's pretty straightforward. Like it's easy to understand if you're climbing up on a roof and doing an installation. It's a lot harder to do if the weather is not favorable. But does that also, I guess, is it weather seasonality, or is it just a different kind of seasonality, so that the different channels that lead to originations, whether it's telemarketing or door knocking? Is it a holidays thing, or what is it that causes originations to be lower in the fourth quarter on a more normalized seasonal basis?
Gaylon Morris: Sure. Hey, Donovan, this is Gaylon. The seasonality hits us in a number of different ways. First of all, you lose almost a week in November for Thanksgiving. You lose roughly two weeks in December for the holidays. So right after that you're in muted originations based on that. And then with the weather that took place in a lot of California and when we saw some of these effects in Q1, as we alluded to in the comments and press release, I think also it's very hard. for the 70 plus percent of our business that is door knock origination for them to get somebody's attention when they knock on the door. If there's a serious weather event going on simultaneous. So you just don't see them being able to set appointments and being able to have those appointments when the weather is so frightful, if you will. And then, of course, part of our business is up in the central United States, in Minnesota and Wisconsin, and that part of our business, really both originations and installations tail off in the winter because a lot of them don't run electricity for heat. So it's a lower time of year for electrical costs. And then the same thing. It's just difficult for people to knock on doors and get people's attention on other things going on.
Donovan Schafer: Okay. Well, as a Los Angeles resident, I’ll, even though I sounded a bit confused, I will also readily admit that I know that when it rains, everyone in California panics and we all just hunker down. I think it's raining today. And yes, I get it at least that part. It does make sense that we just don't like rain and traffic will shut down.
Gaylon Morris: We haven't seen anything, our tele sales group is holding great and making sales, and we haven't really seen much of a change in the origination there other than what Jason is talking about with regards to inflation. There's still a bit of a sentiment out there that if I bought this a year ago, it would have been a lot cheaper. And people are just adjusting to the new reality that it's not going to be cheaper again for a while. Even though the modules have come down some, the loans are so much more expensive than it used to be, and leases are better, but still not what they were a year and a half ago. So I think there's still some amount of consumer adjustment, there's some amount of sales channel partner adjustment. They're not able to bring in quite the commissions that were able in before, which creates some additional challenge in workforce. It's kind of a perfect storm. I listen to I read what's going on in my industry. It doesn't seem like this is an isolated challenge that they were back then.
Operator: Our next question comes from the line of Philip Shen with ROTH Capital Partners.
Philip Shen: Hey, guys, thanks for taking the questions. I had a follow-up on the originations theme. You guys talked about some recovery thus far this year. And I think, Jason, you were just talking about the new loan provider and the onboarding of new PPA options as a reason. I was wondering if you could quantify the recovery thus far. So on your slide deck here, you see this drop off in Q4. And then we were writing about the recovery in January and February as well and want to get a sense from you what the magnitude of that recovery is and if you could kind of split it up between California recovery or growth versus non-California. Thanks.
Jason Bonfigt: Let's break the quarter into and it's still playing out, but we'll break it into two portions of the quarter. I'd say the first six weeks of the quarter where it was, it felt a lot like the challenges that we had in November and December. And that was frankly, across many markets. We've been marketing pretty aggressively in California talking about how NEM 3.0 changes the economics for some homeowners. And we were expecting there to be a lift. And that really didn't start to play out until the second half of the quarter here. The second half of the quarter, the originations, just in general terms, are much closer to what we're seeing, what we saw in Q3. Now, we have a few more weeks to go, but we have felt encouraged on some of the changes that we're seeing in the business and originations. At the same time, we are, one of our strategies is we have an excellent direct sales force of over 600 people that are very, very well connected in the industry and what they are actually promoting Solcius on a broader level to dealers as well to come on to their organization. And we're seeing some lift from that as well. And I think that's also catapulting us into towards the end of Q1 feeling a lot better about the state of originations. I would say California is without giving specifics, California was 30% to 35% of our business last year for residential and we're continuing to see originations be really, really healthy in California.
Philip Shen: Great. Thanks, Jason. And one of the things we were writing about was the potential for the NEM 3 transition to cause a huge pull in so that you have strength in Q1, Q2 and possibly even Q3. But with a weaker first six weeks, we think it's probably less likely that we get as much strength in Q3 before a step down in California as a result of NEM 3. And so do you think, does that kind of mesh with what you see? Do you expect that because the applications have to be due by April 13, and so that my sense, is there's going to be a rush of applications, but then that carries into Q2. Do you think there's some strength, given the originations you see now, that could serve Q3 volume in California so that we don't see an installation drop in Q3, but rather more in Q4? Do you actually see the drop in Q3 now? Thanks.
Jason Bonfigt: I think it's a little early to tell. So California has been strong. We're starting to book out production slots or install slots into Q2. So if we continue to see the strength that we have seen over the last several weeks, I wouldn't expect a significant drop off in Q3. At the same time, I just want to focus on we're continuing to bring on new dealers and expand these direct sales. So our mindset is if California weakens in the back half of the year, we're aggressively going after other markets that solar is still very economical.
Philip Shen: Right. And so that brings up the next thread, which is, you've seen some strength in California. Have you seen a similar type of recovery in non-California states? We're seeing that in the conversations we're having and the data that we're seeing, we're accessing. But just curious if you guys are seeing the same thing, and if so, on a year-over-year basis, would you expect your megawatts, for example, in Resi to be flat year-over-year, maybe a little bit down or even slightly up?
Jason Bonfigt: So I am going to stay from the guidance question right now, but other markets that were pretty strong. And I think Texas, as you probably saw in other research that has been published, Texas was a down quarter for new permits applications. We're seeing a little bit of a recovery there. We're seeing the same thing in Arizona and New Mexico, which are strong markets for us, and we're bringing on additional support and sales forces in Utah as well. So there is some strength there. So we'll see how the year plays out until we can get a little more comfortable with giving guidance.
Philip Shen: Great. And so in terms of loan versus lease or PPA that mix can you share what it was in Q4 and maybe even 2022 overall and then what your expectations are for ’23 especially you bring on some new PPA providers?
Jason Bonfigt: Sure. So less than 10% in 2022 was PPA. And I think we've talked about this in the past, Solcius, even prior to the acquisition, sort of moved with the market and adapted in the past. So at one point, they were nearly 100% PPA, and that eventually shifted into loans. And that's at the acquisition it was predominantly loans products. What we're seeing in Q1 so far is it's shifting to be probably up to 20% of PPAs. And again, we're bringing on more PPA products. And as we do that, I'd expect us to even move closer to. I think we're targeting being in the 40% to 50% range by the end of the year. So, California, it looks like with battery options, the PK option can save money to the homeowner on day one, which is a key selling point. So given that's 30% of our business, I might have just talked myself out of being at 40%-50% by the end of the year. It might happen quicker than that.
Philip Shen: Got it. Good. So you're seeing a steady mix there, or mix shift, if you will. And then I know you haven't provided guidance per se, but I was wondering if you could just give a little bit of color on maybe Q1 or Q2? And sorry if I missed it, but relative to what originations kind of be the best kind of way to think about what the shape of Q1 revenue might look like with the Q4 originations there. Of course, commercial could contribute, but typically seasonally it's weaker quarter. So just curious if you can give a little bit of color on revenue margins as we either get into Q1 or even through the year do you see some, it sounds like you do see some expansion for margins. But you were talking about that revenue plus sorry, the gross profit less the sales and marketing. So anyway, I'm saying a lot here, but to what degree, to the degree you can provide color, we would appreciate it. Thanks.
Jason Bonfigt: Sure. Look, I'll cover it at a high level. So that slope that you saw for originations, when you think about the timeline it takes to apply for permits, work with the jurisdictions, work with the customers and get installed, that can be anywhere from 30 to 90 days by the time you recognize that revenue. So that downward slope that we saw in originations certainly plays out in Q1 and I think it will be further impacted by the weather events. We talk about install slots and we lost a higher percent of the install slots than we traditionally have in the past, in January and February. So that certainly impacted us. That was really in Texas. That was in Colorado, in California as well. So we had pretty severe impacts. So as I look at the year, we would like to see Q1 be the low point and we build off of that. So with the lower revenue levels will likely lead to some margin pressures in Q1. And then we'd look for that to expand throughout the year as volume improves and as we have more direct revenue, direct sales revenue as well. And then in our commercial business, the pipeline I said the backlog is we have about $33 million in our backlog today. We'd expect our backlog to grow in Q1 based on recent order activity and conversations with customers. So we're anticipating revenue growth throughout the year in our commercial business. But again, Q1 is going to be a little light because again, revenue was impacted and delivery dates were impacted by the weather in California.
Operator: Our next question comes from the line of Tim Moore with EF Hutton.
Tim Moore: Thanks. Congratulations on the impressive beat for sales growth. It was nice to see the step up in growth on the commercial side. It was actually one of my questions. Historically, the commercial gross margin is a lot lower than residential. Did that help explain some of the gross margin difference in the quarter? Besides labor and the weather is a mix effect.
Jason Bonfigt: Yes, excellent point. Gross margin in residential segment is 47% during the quarter. In the commercial business, it's significantly less than that. So the variations that you see in revenue between quarters in each of the segments really will drive our consolidated margin.
Tim Moore: That makes sense. And I know that Donovan was trying to maybe ask this as part of his set of questions, but and you just gave some color on the first quarter and weather, but I just want to make sure that the sales beat, which is pretty strong didn't pull forward a lot from the March quarter given the backlog came down and originations were a little bit soft because of the door to door knocking. I was just wondering, were there any kind of big commercial orders or residential orders that might have gotten down at the end of the quarter that you thought you were probably going to do in January?
Jason Bonfigt: The answer, quick short answer is no. We had some pull forward in our commercial business of some revenue being completed earlier, but we're talking a $1 million to $1.5 million pull forward, but nothing significant for the financials.
Tim Moore: Okay, that's helpful to hear. And I know that you gave the comment earlier on this in your opening remarks, which was nice to hear, the direct sales team in residential getting eventually to a run rate, maybe of half the sales. Just to clarify, was that the goal, maybe an exit run rate for December or the end of this year? Or was that more of a 2024 goal to 50%?
Jason Bonfigt: Our goal is to be at 50% when we finish Q2, and it may happen earlier than that, but again, we're thinking about this from a perspective of we want to build all sales channels. We see value there in growth, but we want to make sure the economics of the various deals makes sense for both the sales channel and for us. So we will continue to negotiate and go down both paths. But again, we do like the direct sales part of the organization and we have some more control over the sales process and all the benefits that come with that. So that's why we keep talking about why it's so important to Sunworks.
Tim Moore: Good. Because I had to relate the question to that. Obviously, it's a lower customer acquisition cost and higher contribution margin from the direct side. But are you seeing your direct sales team as they've ramped up on productivity? Are they triggering more system upgrades or insurance products or any other type of ancillary products over the last couple of months?
Jason Bonfigt: So we will call them adders and those adders could be, it could be a battery being added or EV or insurance product like you mentioned. And we do see that and we do see a higher attachment rate on those specific adders, which just because I think it's just a different sales process and they're working through how do we optimize every sale that we have with the homeowner and provide the best service at the same time.
Tim Moore: Yes. And then I know you alluded to this earlier on and one of your comments was it sounds like the cross-selling starting with the power storage systems and EV charging stations, residential, are you starting to see inroads for commercial customers for those type of products already?
Gaylon Morris: Yes, we absolutely are. We hired a business director, business development director at the middle of last year solely focused on fleet and commercial EV charging. And we're now appending to adding to virtually every proposal we send out, the option for EV charging and where it makes sense for the customer, we do offer and install a number of energy storage solutions on the commercial side.
Tim Moore: That's great to hear. And my last question, if I recall, I don't remember, sometime last year, you added an internal chief legal officer for local permitting oversight. How's that panning out? And do you think that'll give you more speed in these other markets that you were talking about, where you're seeing Arizona and New Mexico and some other good growth expansion opportunities?
Gaylon Morris: I will say that the CLO hire that we made is one of the best hires I've made at this company. So He's tireless and his team has improved and increased our professionalism and timeliness and everything that we do that they touch. So really just ringing endorsement for that leader in this group. And I must say that they are not only addressing permitting and licensing challenges and things like that, but also in those instances where a customer decides he or she may not want to continue to customer journey to installation, and they get involved there and just many times where they can convince the customer to continue, make sense. So they're touching more areas of the value stream than I had expected and they're doing a great job.
Operator: Next question is a follow-up question from Donovan Schafer.
Donovan Schafer: Hey, guys, thanks for taking my follow-up questions. I know I can get a bit greedy on asking questions, but if the opportunity is there, I'll take it. So I want to ask for C&I gross margins. You mentioned that there was a mixed impact on C&I gross margins in the quarter and fourth quarter. And so I'm just curious, what is it from a mix standpoint? Is it certain types of projects like maybe EV charging versus solar versus storage? Or is it the size, is it disproportionately larger projects versus disproportionately smaller ones? How do you divide, whether different buckets there where you had a higher mix of it in the fourth quarter?
Gaylon Morris: Yes. So a couple of things there. One, the public works projects are competitive is the wrong word, but they tend to be larger and they tend to, has been in correlation with most construction projects, the bigger they get, the lower the margin percentage. So the public works group had a significant contribution, as Jason mentioned, to the Q4 revenue. And that contribution comes at a slightly lower margin. But what also is important is the timing. So we don't necessarily recognize full profitability on every milestone of a commercial construction project. It's pretty typical in construction to take most of the margin at the end and really just to have your revenue recognition, be very closely related to costs as your milestones along the way. Unlike as I mentioned where we take the entire revenue at the end, in the commercial project, we usually the two between five and nine discrete milestones, and really only margin flow through was the last couple of miles.
Donovan Schafer: Okay, that's really helpful. And then so for the C&I backlog at year end 2021, you had $18 million in C&I backlog. And then you did, I think, $21 million in C&I revenue in 2022. So now you have $32 million in backlog at the end of this year. And so I'm wondering, do you expect all of that to fall, all of that C&I backlog to become revenue in 2023, or maybe even that you might end up somewhere north of that just because that would be the best revenue year in C&I for you guys since 2019. I think before Gaylon, that came down a bit because you were trying to rework with the process and make sure that it was profitable. But it gets us back to those higher revenue levels. So it'd just be great to get a handle on whether that $32 million is a good sort floor for 2023 or if there actually maybe is a chunk for 2024. So it doesn’t, so we can't really kind of make that type of inference.
Jason Bonfigt: Yes, we have $33 million of backlog at 12/31. I did mention that we're going to see a backlog increase when we report our Q1 numbers in early May. And most of that revenue there will be some bleed over into 2024. But at the same time, we're also working through negotiating and finalizing contracts that could be supportive of additional 2023 revenue. So we're, while we're cautious, we do see that there could be some upside throughout the year. But again, we need to execute on executing contracts and the sales organization executing. So we really are pushing this business to be in excess of $50 million of revenue on an annual basis or at least on a run rate basis, that's once we're into that $50 million to $60 million range, we're starting to think about being positive EBITDA as a segment.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Gaylon Morris: So once again, thank you everybody, for joining our call. Should you have any questions, please feel free to contact us at ir@sunworksusa.com. A member of our team will follow up with you. This concludes our call for today. And you may now disconnect. And again, thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time. And have a wonderful day.